Operator: Good day, and welcome to the Sartorius and Sartorius Stedim Biotech conference call on the publication of the quarterly statement Q1 2018. Today's conference is being recorded. At this time, I would like to turn the conference over to Dr. Joachim Kreuzburg, CEO. Please go ahead.
Joachim Kreuzburg: Thank you very much, and welcome, everybody, to our Q1 conference call for the results of the Sartorius Group as well as Sartorius Stedim Biotech. I would like to walk you through the highlights of the first quarter this year before I then will hand over to Rainer, our CFO. So the results of the first quarter 2018 are fully in line with our expectations. We have seen a dynamic start to 2018. More particularly, our LPS division has achieved double-digit growth rate. So both the order intake and sales revenues. We have seen a continuation of the positive momentum in our Bioprocess division, as we have seen it particularly for order intake throughout the second half of last year. On the other side, we have seen the significant FX headwinds that were to be expected, particularly for the first quarter, as during Q1 2017, we've had much better, more favorable exchange rate, particularly for the U.S. dollar to the euro in comparison to what we have seen at the end of last year and, therefore, which we had to expect for the first quarter. We will give you more detailed information about that in a minute. And based on the positive results of the first quarter, we fully confirm our full year's guidance for 2018. Having said this, I would now like to turn the mic to Rainer for the detailed financial results.
Rainer Lehmann: Thanks, Joachim. Also, welcome, everybody, from my side to the call. As we just heard, we really could take the positive momentum that we gained in Q4 over into Q1, which led to sales revenues of €365 million in constant currencies. It's an almost 11.5% increase. Order intake increased by 12.5% in constant currencies to €404 million. It is very nice to see, and I would like to point out that we here, once again, have a substantial positive gap between the order intake and sales revenue amounting to roughly €40 million. The underlying EBITDA, unfortunately, only rose by 4.7%, which led to an margin, at the end of the day, of 24.3%. This is roughly half percentage point lower than previous year, but this is solely attributed to foreign exchange effects. Corrected by this, that would actually fit into our expectation, and we would have achieved previous-year level. Joachim just mentioned that clearly the U.S. dollar-euro relationship in Q1 2017, if I may remind everybody, was that we had an exchange level of $1.07 on average and even at quarter-end compared to $1.23 in the Q1 2018. Of course, the whole gap is not related in the financial results because, of course, we have our hedging minimizing that effect. All this leads to earnings per share of - an increase of 8.1%, and respective 8% for the preferred shares. And then we look at the investment ratio. We are currently at 10.3%, that is 2.5 percentage points lower than previous year and will increase over time, which is really the timing effect. You know that our guidance is a little bit higher than that. If we come to the next slide and look at the regional contribution to our sales growth. We see a really nice development in the Americas, 13.8% in constant currencies. Of course, driver here is on a laboratory side, our bioanalytics business, especially Essen BioScience, but also, on the Bioprocess side, we could see a nice development, specifically since we had a weaker quarters in 2017 as you - as we pointed out in our previous calls. In the EMEA region, solid performance, 6.5%, almost equally contributed by our Bioprocess division as well as Laboratory Products & Services. And in Asia Pacific, once again, we see a really nice double-digit growth rates. So it's really a continuity - continuation of the great performance from 2017. If we now look at a little bit deeper into Bioprocess Solutions. There, we have an order intake growth of 9.1% in constant currencies to €295 million. That is, against the reasonable Q1 2017, quite a nice achievement. Specifically, if you looked at Q2 and Q3 of last year, we're actually lower than that. We have, on the revenue side, 10% increase in constant currencies to €263 million. Again, here you see the nice increase from order intake versus the sales revenue. There we have a positive gap of €30 million. Overall, all product segments contributed to the growth. And when we come to the EBITDA margin, we're seeing here, what I mentioned before, the 26.7% for the Bioprocess division compared to 27.2%. Again, this is diluted by the FX effects that I mentioned before, heavily on the U.S. dollar. Otherwise, we would have been also here on previous year's level. Turning to the next page. On the Laboratory Product Solutions, we see very nice order intake, driven clearly by our acquisition, Essen BioScience, last year, which not only contributed 10 percentage points in order intake, but also 11 percentage points in - on the sales growth. Americas really helped gave us a solid performance here. The profitability, EBITDA margin were able to increase from 17.7% to 18% despite the FX headwinds due to a really favorable product mix and additional volumes that led to economies of scale. And returning to the next page, we see our key performance indicators. I would like to point out here really the net operating cash flow, which increased by 70% to €39 million. The other figures, financial results are in line, slight increase due to the additional financing that we need and - that we needed for the acquisitions that we performed last year. Extraordinary items also in line and influenced by integration cost of the newly acquired companies. The other key financial indicators, when we come to the next page, equity ratio is solid 35.4%, slight increase over year-end. And our dynamic indebtedness ratio, net debt divided by underlying EBITDA, remains at a 2.5, same figure as at year-end. And with that, I'm going to hand over to Joachim, who's going to give an outlook and also present the SSB financials.
Joachim Kreuzburg: Yes. Thank you, Rainer. So we confirm our 2018 full year's outlook. So the table that we are showing here is fully identical to the one that we have presented to you a couple of weeks back when we presented the - our guidance for 2018 the first time. Therefore, just briefly for the Lab division to start in the lower line of this table, we are expecting to grow by 12% to 15% overall, which should include 2.5 percentage point of nonorganic growth. As a reminder, the Essen acquisition we first start consolidated at the very end of Q1 last year, so the first quarter is the only quarter that contributes nonorganic growth. And therefore, there's not much - there's nothing to come from today's perspective to add to what we have seen so far. So 2.5 percentage points for the full year. And we expect the margin to increase by 1 percentage points based on the 18% that we have achieved last year. For Bioprocess, we are expecting 8% to 11% of top line growth, which should include 0.5 percentage point of nonorganic growth from the Umetrics acquisition last year, and the margin expansion should amount to 0.5 percentage point. And this sums up to then to an expectation of top line growth for the Sartorius Group of 9% to 12%, which includes 1 percentage point of nonorganic growth and an expansion of the underlying EBITDA margin by approximately 0.5 percentage point. The CapEx ratio for the Group should be around 15%, so pretty much at previous year's level. As Rainer pointed out before, we have seen a bit lower rate for the first three months, pretty much timing effects. We would stick to the 15% that we have communicated before. And just as a reminder as well, our tax rate is down by 2 percentage points to around 27% as a result from the U.S. tax reform at the end of last year. Again, I would like to point out that our guidance is always based on the assumption of constant currencies. This is a straightforward process to calculate, that's for the top line. But of course, for the underlying EBITDA margin, there are multiple influences and also transient effects that are not always that easy to calculate and even almost impossible to anticipate fully. But as we were talking about the FX effects for Q1 already quite a bit in this call, the average exchange rate between the U.S. dollar and the euro for the full year of last year has been pretty much exactly $1.20. And therefore, if the exchange rate stays as it has been during Q1, then we don't expect such a significant FX effect from today's point of view. Also, Q1 should be really the quarter probably with the highest FX effect this year. Let me now move to the SSB subgroup and walk you through the result of this briefly. Of course, this is pretty much similar to what we were talking about for Bioprocess already. But nevertheless, the figures you find - the most important P&L-related figures you find on the next slide was the table that shows that sales revenue have been growing by 9.8% and order intake by 9%. We were building up another €32 million of order book. EBITDA expansion also is up by a slightly lower percentage rate and, therefore, the margin is down by 0.4 percentage points completely because of the less favorable FX environment. Earnings per share up by 7%, partially also affected by the lower tax rate. The CapEx ratio has been 9.2%. And again, this is a little bit lower than we would expect for the full year. Asia Pacific, next chart of the region. Asia Pacific is sticking out with almost 20% of top line growth. Americas is pretty much back on track because of what has been explained before and has achieved around 10% of top line growth. And EMEA, robust growth, quite satisfying order intake, and sales revenue has been growing by 5% in constant currencies in Q1. Significant increase in operating cash flow. And then some extraordinary items, but in line with our expectations. So therefore, nothing - yes, very exciting and specific to talk about, I think, along this chart at this point. And for the financial position, I think one can indeed state that it remains at a very strong level, with an equity ratio around 63%, and then net debt to underlying EBITDA ratio as low as 0.4. So very significant financing power here. The outlook for SSB. We also do confirm, for the full year 2018, we expect a sales revenue growth of 7% to 10% in constant currencies and an expansion of our underlying EBITDA margin by approximately 0.5 percentage point. Again, all the statements that I was making before regarding our assumptions for the currencies, of course, are relevant here as well. And the CapEx ratio we expect to be around 15% for SSB as quite significant investments in 2018, particularly the expansion of our facility in Puerto Rico, a part of our happening in our SSB operations and that's why. And then again, the U.S. tax reform also had a positive effect on our tax rate. We expect a decrease of this rate to around 26%, which means a reduction by 2 percentage point. Ladies and gentlemen, thank you so far for your attention. And now we would open Q&A. Thank you.
Operator: [Operator Instructions]. And the first question is from the line of Johnny Rowles with UBS.
Johnny Rowles: It's Johnny Rowles. I've come from UBS. Firstly, on Bioprocess Solutions margin. You said that without the FX headwinds, you'd be out at pry - sorry, prior-year levels for the EBITDA margin in Q1. But you also said that you're sticking to guidance for 2018, I mean, increasing 0.5% in the margin for Bioprocess Solutions. Just wanted to check, I mean, there's a gap there between where you are and where would you would like to be. And I wanted to clarify if there's anything else going on here that we should be thinking other than FX? Also, in your comments, you mentioned that the margins increase aren't just especially strong in the reporting period. One of your competitors said they had double-digit growth [indiscernible]. Is it the same as what you're saying? They also said that they see performances a bit accelerated throughout the year, and is this line of your expectations? And that's all for now.
Joachim Kreuzburg: So yes. Thank you very much for your questions. Though I have to ask you to repeat maybe the second and the third question because they were very difficult to understand. Yes, maybe we had a problem with the line or something. But maybe before you repeat that, I would like to answer the first question. So it's absolutely correct. We confirm the profitability expectation for Bioprocess for the full year, where the - as you have seen, the order intake is on a significantly higher level than the sales revenue. We have consolidations effects for sales and distribution costs and R&D cost that have played the role already in Q1. Then the negative effects on FX in the year-on-year comparison, which should not play such a role for the full year, as explained before. And therefore, we do expect a higher profitability levels and margins for Q2 and following. And therefore, we indeed confirm that. So it's basically indeed volume-driven in other words, what we - what our guidance is based on and that's the first thing. And the second thing is, we also have a positive view on the product mix going forward. We have seen a healthy product mix in Q1, but when we see the mix of our order intake, we think that going forward, this should be also a rather positive factor. But maybe, once again, and sorry for that, but it was very difficult to understand the questions that you asked thereafter. Maybe you can repeat them, please.
Johnny Rowles: Yes. Of course. I just wanted - so in the press release, you said that demand for single-use technology was especially strong in the reporting period. I just wanted to try and quantify this, as one of your competitors said they had double-digit growth for single use. And to check, whether that's what you are seeing as well. They also said that they expect single-use growth to accelerate as we move throughout the year. And I wanted to check whether this was in line with your expectations as well. So yes, there's my two questions.
Joachim Kreuzburg: Okay. Yes. Great, thank you. So indeed, that is what I wanted to indicate by my statement regarding the product mix that we have seen in order intake. We have seen already, yes, very significant positive contribution to our top line growth, so sales revenue growth in Q1. The development of the order intake in our single-use product range is even more positive. And therefore, we expect the contribution by single-use products to play a bit bigger role going forward indeed, yes.
Operator: Next question is from the line of Paul Knight with Janney.
Paul Knight: Could you talk to the geographical strategy moving more aggressively in past years in the United States? Do think you're at the juncture of growth here? Or - what - how do you feel about your U.S. presence and ability to possibly take some share?
Joachim Kreuzburg: Yes. That's a very important question because the expansion of our market share in the U.S. is an explicit part of our strategy. And I think, we are very successful in doing so for more like all of the recent years, with the exception of last year because of the temporary effect regarding cell culture media. We have seen very significant double-digit growth in the U.S. in '15 and '16. We believe that we are - that we always have been on the very good track. Also, last year, basically. Again, very significant dilution by the problems in cell culture media. And therefore, we indeed are optimistic that we should continue to gain market share in the U.S. Still, when we see the - our portion of sales revenues that we achieved in the Bioprocess domain are related. Now particularly on Bioprocess is still slightly below 40%. The total market should be roughly to 50% in the U.S., or 50% of the market should be in the U.S. So that indicates that there is still quite some significant additional room to grow and to expand our business. And we believe that we are on a good track. We are committed to further invest into our go-to-market approach. But still, these investments should not be dilutive to our profitability, as we still should add less resources and less S&D cost than the top line expansion should contribute. So we are quite optimistic about the further development of our all U.S. business.
Paul Knight: And can you talk lastly to the media business? I believe that's no longer in guidance.
Joachim Kreuzburg: That's correct. Because for most of last year, we haven't been able to deliver a cell culture media to our U.S. customers. Lonza has restarted their facility in Walkersville, U.S. end of last year. Therefore - and as we explained at that point in time, Lonza is applying a very risk-averse approach, so ramping up the production and expanding the portfolio of products that they produced there step-by-step. And therefore, we, for sure, won't like jump back on the sales revenue level at which we have been at the end of 2016 in the U.S. in this segment. But we should rather see a positive contribution from this business in the U.S. again. And no further dilution also, but rather, as I said, a positive contribution. And that's why we don't explicitly mention it here again, yes.
Operator: Next question is from the line of Markus Gola with MainFirst Bank.
Markus Gola: So my first one would be on your R&D to sales ratio, which increased by 100 basis points in Q1 year-on-year. Is this fully driven by FX and saving? Or will you invest overproportionally in R&D going forward? And my second question is on the Lab and - Lab Products & Service business. This segment posted only less than 4% organic growth in Q1. Has there been any particular reason for the dip in the quarter or any delays in product delivery, given your high order book?
Joachim Kreuzburg: Yes. Thank you. So to the first question, the most important factor for this significant step-up of our R&D cost ratio is indeed the - our consolidation effects from both Essen BioScience and Umetrics. Umetrics hasn't been part of our business until May last year and Essen for most of Q1 last year as well. We consolidated Essen first time at the very end of Q1 only. And therefore, in comparison to this, we now have consolidated these two businesses, which both have quite a significant portion of R&D activity. And some of these R&D costs are - is depreciation or amortization of respective purchase price allocations to - for their product. So this is like a detailed information, although not all of this is cash-relevant what you see there. However - so that's the main point. And should, therefore, this step-up, you can't extrapolate over the full year in other words as well. Secondly, on your question regarding the organic growth in LPS, that's right. It has been roughly 4.5 percentage points for Q1. We expect higher organic growth in this division going forward. We believe that, again, we had a - first of all, we had a very strong Q1 last year in that business, so relatively high comps. Should be a bit easier comps going forward, and based on our order intake. So that is what you meant probably by timing effect. And order book, we are confident that we should achieve our guidance, which - yes, which equals to a significantly higher organic growth indeed.
Markus Gola: Okay. But there hasn't been any delay in product delivery in Q1, right?
Joachim Kreuzburg: No, no, no. The fact that we have built up a bit of our order book in the Lab division as well has nothing to do with delayed product deliveries indeed. It's just - it's fully in line with delivery expectations by our customers.
Operator: [Operator Instructions]. The next question is from the line of Scott Bardo with Berenberg.
Scott Bardo: So the first question relates to the Bioprocess Solutions business. And I wonder if you could just give a little bit of additional information on your book to bill this quarter. Because if I look back through the last, I think, several years, your order book in Q4 has been a very good leading indicator, give or take few millions here or there, for the revenues of the successive quarter. But here, there was quite a large downturn, around €26 million or so as compared to the order book that you received in Q4. So was this that you sort of exhausted much of your order intake in Q4 over these lumpy equipment orders? Can you give a little bit more clarity surrounding that, please? Also, just want to understand a little bit or have some thoughts shared on EMEA growth. And I think that in the EMEA in Bioprocess here, you grew something like 50% of growth as compared to the Americas and the third of the growth as compared to the Asia-Pacific region. So is it that this is a structurally lower-growth market or more mature? Or can you share some thoughts about how you see this region developing? And I have a follow-up.
Joachim Kreuzburg: Yes. Thank you. So for the Bioprocess business, it's indeed the fact that it's a bit related to product mix or in other words, role that some projects play here. So we have received a couple of orders for projects in Q4 last year that only have contributed partly to the sales revenue in Q1 this year. And that's why this maybe looks slightly different from some other years when you compare order intake in Q4 with the sales revenue of the following Q1. So there is nothing - yes, nothing else than that, nothing particular and it's also not the case, I would say, that we have any very typical timing pattern in our business. I would agree that typically, Q4, we might see strong order intake and Q1 less, so that is maybe sometimes a bit the pattern. But particularly, in a Bioprocess business, that there is always this overlay of projects that might change this picture. So again, it's basically attributed to these - this portion of projects and nothing else than that. To EMEA, you're absolutely right that EMEA is a market where our expectations are a little bit different than our expectations and our ambitions are for the Americas and for Asia. And I wouldn't say that the market as such is more mature, but clearly, we have a higher market share in that region than in the Americas. And that is why we always are shooting for higher growth in the Americas because we - yes, simply in tips at this portion of market share expansion to what we aim to achieve in the Americas. But of course, in the comparison with the Asian market, you could argue that both EMEA and the Americas region are more mature. Or in other words, of course, in Asia Pacific, we really see a different level of underlying market growth than in the western world. So - and that is these two factors: additional market share expansion in the Americas; and different underlying market growth in Asia Pacific. That is what makes the difference here.
Scott Bardo: Understood. And last follow-up, please. Just relates to the LPS division. And clearly, sales in Essen is going strongly here still. So I just wondered if you could share some thoughts as to whether this is new customers trying the Essen solution for the first time or whether we see existing customers increasing their orders? As I think, Gerry Mackay alluded to that sort of pattern at the Capital Markets day. Just wondered, is this expansionary or repeat business?
Joachim Kreuzburg: I would say the healthy mix of both. Particularly for the Essen system, we have a couple of larger customers, with a very significant installed base of products. And most of them are continuing to add to this installed base. But on the other hand, we are also winning new customers. We still have a - have significant room to expand our customer base here. It's not the case that this product has like 100% customer base penetration, if I phrase it like that. So we see a healthy mix because it's really - both is important. It's important to win new customers, but it's also important that existing customers continue to add to their installed base because that's a strong sign of how important this product has become for their R&D purposes.
Scott Bardo: Lastly, Joachim, and I know that you've always attempted to give a very accurate guidance on the full year basis. And that's appreciated. I think, if we look back a couple of years ago, on the occasion of the Q1 results, you increased guidance for the full year. So what I'm trying to understand here is, given the strong order book you see, is that still flexibility and scope that increased guidance in your opinion? Or is it that you feel just comfortable achieving your current guidance framework? If you could just give some airbands around your guidance, that would be helpful.
Joachim Kreuzburg: That is a very, very tricky question and nicely put, so thank you for that. However, I think what we typically do, and we would stick to this clearly for 2018 as well is that, if there is not any very significant surprise into what direction soever, we only revise our guidance at the mid of the year, and that's always our ambition. And this revision for me or for us ideally means we narrow the bandwidth, but don't change fundamentally our guidance. And therefore, based on this set of figures, we don't see any reason to revise or change our guidance. We believe it's a realistic guidance and would mean a very meaningful and consistent step towards our 2020 targets.
Operator: [Operator Instructions]. And we have a follow-up question from Johnny Rowles with UBS.
Johnny Rowles: Again, it's Johnny here from UBS. Just another quick one on Lab Products & Services, following on from two of the earlier questions. Obviously, very strong growth in order intake. I was wondering whether you could give any indication of how this is split versus - like organic versus the inorganic, say, the bioanalytics things that you brought in recently?
Joachim Kreuzburg: Yes. Thank you very much. So for order intake, the contribution from nonorganic growth is slightly higher than the 11 percentage points that we have reported for the sales revenue. But that means that the organic portion of growth in order intake is quite significantly higher than the 4.5 percentage point that we have reported for Q1 for sales revenue.
Operator: And the next question is from the line of Christophe Ganet with ODDO.
Christophe Ganet: Actually, I have two. One relating to Europe's figures. So again, it's on SSB. I'd like to understand if there is a specific reacceleration in Europe that would be explained by a certain restocking effect, so if there is a Q1-specific effect that shall not be reminisced on or recurring on the next quarters? And the second question is related to Asia Pacific. Given the facilities and new capacities that have been set up and established in the recent months and years, do you see a level of consumable or mix product in your revenues locally that is higher in terms of consumables there? So in other words, is there a higher consumption of consumables, filters and bags locally than in the, let's say, probably less modern production facilities in the rest of the world?
Joachim Kreuzburg: Yes. Thank you for these two questions. So yes, regarding the stock levels of our customers, we, unfortunately, always have limited insight. I would say, and if I got the question right, you've asked particular for the EMEA region, so the much more significant impact last year for the destocking or from the destocking has been, I think, in the Americas, but also, to some extent in EMEA. However, we don't have any indication to see something like restocking. We rather would interpret as such 10 sorts of customers to reduce stock levels not driven by absolutely short-term cash flow optimization target or so, but rather by overall optimization ambitions. And therefore, I mean, our best understanding is that there should not be any artificial contribution to growth because of the restocking. On Asia Pacific, well, I mean, in Asia Pacific, we are typically have an overproportionate level of larger project. The larger project always mean a larger portion of equipment in nonconsumable products. But however, we indeed are satisfied also with the growth that we are achieving with our consumables portfolio in Asia Pacific. And we indeed see this on - yes, on a very significant double-digit growth rate in basically all markets that we're talking about here or relevant markets. But I wouldn't say that because of that the portion of consumables in our Asia-Pacific business is higher than in other regions. That's for sure not, but the growth rate is at least of the same level as in other countries.
Operator: Next question is from the line of Markus Gola with MainFirst Bank.
Markus Gola: I just have a quick follow-up question on the U.S. media topic. As far as I understand, Lonza is still ramping up the facility, but they are not delivering yet. And I just wanted to ask when would you assume to be able to sell media again in the U.S.?
Joachim Kreuzburg: Yes. We are selling on a low level, so it's not the case that they are not delivering yet. It's just a limited scope, what I said, of products. And therefore, we also do see some growth again from this very low level that we've had in the last year in the U.S. It's not very significant to the overall top line of the Bioprocess division indeed. And we do expect Lonza to continue this ramp-up and, therefore, we do expect the - this contribution to become a little bit more significant. But as we always have said throughout the last year, as some customers have been forced because of the unavailability of these products to switch to other suppliers, there won't be a very steep, yes, recovery curve in that business. We expect growth, but it should not be a such a steep curve back as it has been curved down last year. So - and that's why we don't highlight that in particular. But the facility is available again, and we see a ramp up of the output.
Operator: Next question is from the line of Gunnar Romer with Deutsche Bank.
Gunnar Romer: Gunnar Romer, Deutsche Bank. It's regarding Bioprocess and the momentum you're seeing here. Maybe if you can elaborate a bit further. Because when I looked at Q1, it's actually decent growth number against relatively tough comps. As you explained before, comps are getting much easier in the coming quarters. So to me, it seems as if you're rather trailing above what you're targeting for the year. Also, when I take into account your comments about potential acceleration in the single use. So just help me understand, how you come to your guidance relative to - what to me, at least seems as a pretty strong Q1 actually?
Joachim Kreuzburg: Yes. Thank you very much. You are right. Q2 and Q3 are relatively easier comps for sales revenues. But in turn Q4 already then have been much stronger - has been much stronger last year and will be, therefore, also tougher comps. And that's why we believe that we are still, yes, trailing in line with the bandwidth of our full year's expectation. And as I said, to the question that was asked a while ago, we don't see any reason based on this set of figures to revise our full year's guidance. We would be happy to do so based on our half year's figures, if we then think we should change it to the upside. But clearly, we believe that the full year's expectation that we have for Bioprocess is a realistic one. We definitely don't see a reason today to shift it to the upside at this point.
Gunnar Romer: Okay. And maybe a quick follow-up. If you could comment on what you're seeing in the order book from a regional perspective? I think you commented on the contribution of single use being quite strong. Can you comment on what regional trends you've seen in the order book for Bioprocess? Is there anything that stands out that you would highlight?
Joachim Kreuzburg: No. I think the only comment I think that we were also making when we were talking about the SSB figures is that the order intake - we said robust growth for sales and dynamic growth for order intake. So that indicates that order intake indeed has been stronger in EMEA than sales revenue growth, which has been just 5%. So therefore, this is maybe the only remark that I would make. But we still see healthy growth levels for the Americas and the Asia Pacific. So that would be the only little additional comment here, but nothing that really stands out.
Operator: [Operator Instructions]. We are waiting for further questions. There are no further questions at this time. I hand back to Dr. Joachim Kreuzburg for closing comments.
Joachim Kreuzburg: Yes. Thank you very much, ladies and gentlemen, for your interest in our today's Q1 call. Also, thank you very much for your questions. Very appreciated. Very much looking forward to talking about - talking to you about the next results that we have to present, which will be the case in pretty much exactly three-months' time when we will present our half year's figures. So thank you again. Have a great day. Bye, bye.
Rainer Lehmann: Bye, bye.
Operator: Ladies and gentlemen, the conference has now concluded. And you may disconnect your telephone. Thank you for joining, and have a pleasant day. Goodbye.